Operator: Good day and welcome to the Pyxis Tankers’ conference call to discuss the financial results for the fourth quarter 2020. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on Pyxis Tankers’ website, which is www.pyxistankers.com. Hosting the call is Mr. Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Mr. Henry Williams, Chief Financial Officer of the company. I would like to pass the floor to one of your speakers today, Mr. Eddie Valentis. Please go ahead, sir.
Eddie Valentis: Good afternoon everyone. And thank you for joining our call for year and Q4 results ended December 31, 2020. First, I hope you, your family, friends and colleagues are managing for the best during this pandemic. We continue to be encouraged by the development and expanding distribution of vaccines worldwide. We are all looking forward to experiencing a return to a more normal way of living and enjoy friends and family. Before starting, please let me draw your attention to some important legal notifications on Slide 2 that we recommend you read, including our presentation today, which includes forward-looking statements. Thank you. Turning to Slide 3, our most recent quarterly results primarily reflected difficult chartering conditions and the impact of the sale earlier this year of our oldest vessel, the non-eco 2006 built, Pyxis Delta. In the three-month period December 31, 2020, we generated time charter equivalent revenues of $3.6 million, down 42% from the same period in 2019, as we had fewer operating days primarily considering the absence of one vessel, lower rates and special surveys for two of our ships. We had the net loss of $2.7 million or $0.12 per share for the three months ended December 31, 2020, both better than the same period in the prior year, due to the loss on vessel sale recognized in Q4 of 2019. Our adjusted EBITDA for Q4 2020, declined significantly to a negative $200,000. The product tanker chartering environment, during the fourth quarter of 2020 and year-to-date 2021 continued to reflect the previous charter rates, especially in the spot market. The usual, seasonal uplift in activity did not occur in the northern hemisphere due to the effects of the resurgence of COVID and renewed lockdowns in many countries. However, our operating results for Q4 2020 primarily reflected the stability and contribution from the shorter-term time charters for our medium-range product tankers. The average daily time charter equivalent for our MRs was approximately $12,300. While disappointing, these results were better than those that would – could have been achieved in the spot market. Given the challenging environment, we have continued this employment strategy with six-month time charters, most of which have charters options at higher rates. As of March 19, 100% of our available base in the first quarter of 2021 are booked for our MRs at an average growth rate of $13,200 per day and at a similar rate for 75% of the base in Q2, assuming the options are not exercised. Overall, the chartering market is currently undirectional, and we believe that difficult chartering conditions may persist until the fall. However, we have stayed positive on the long-term outlook for the product tanker sector, and we are starting to see some positive indicators. For example, Chinese gasoline exports jumped 30% in the first two months of 2021 to over 3.5 million tons. U.S. gasoline inventories are now 12% below the April 2020 peak of 263 million barrels. During these challenging times, we have completed some important operational and financial plans. In Q4 2020, we completed special surveys for the two small tankers. We have no major dry dockings until 2023 when the Pyxis Theta undergoes a second special survey, including Ballast Water Treatment System installation. Over the last five months, we were pleased to announce some major equity financings for the company, which has strengthened our balance sheet, enhanced liquidity, increased our share float and provided capital for debt repayment and possible vessel acquisitions. In October 2020, we completed a $5 million 7.75% convertible preferred stock public offering, followed by 25 million common stock pipe. On a weighted average basis and assuming full conversion of the preferred stock, we effectively issued equity at $1.69 per share. About 30% of the preferred shares have already converted. Last week, we signed a commitment letter with one of our existing banks for the refinancing of the Pyxis Epsilon. Upon closing, this new five-year $17 million secured loan will reduce overall leverage, lengthen scheduled debt maturities and result in a 7.5% interest rate savings. Please turn to Slide 4 for information on our fleet and current deployment activities. In addition to my prior comments, please note the step-up rate to $15,500 per day in the – if the charters exercise the six-month options for the two acquisition MRs, the Pyxis Epsilon and Pyxis Theta. Following up on my earlier comments about the product tanker market, please turn to Slide 6 for an update. Please note, the more extensive market overview in the back of our presentation. As you know, COVID-19 dramatically reduced personal and commercial activities worldwide starting one year ago and resulted in a substantial decline in demand for petroleum products, especially in transportation fuels such as diesel, gasoline and jet fuel. Despite all the efforts to improve public safety for the prevention of COVID-19 as well as government and central bank stimulus programs, which reportedly now exceed $21 trillion, global economic recovery has only recently started with the distribution of multiple vaccines. Excess inventories of refined products are declining, but lower demand for seaborne cargoes and the breakup of ton miles in the open market have continued to negatively impact chartering activity. Spot rates have fallen significantly on the period market lackluster. For example, the indicative one-year time charter rate for an eco-efficient MR has declined to $14,400 per day which approximates the 10-year average. Turning to Slide 7. The road to global economic recovery may be bumpy. In January, the IMF revised its forecast for global economic growth in 2021 to a robust 5.5%, with further growth of 4.2% in 2022. A scenario of solid consumption, combined with lower inventories of refined petroleum products, as well as modest ton-mile expansion from the changing refinery landscape should provide added support to the product tanker sector. Moving to Slide 8. The supply outlook for MR2s remain positive. The order book continues to decline. And recently, a leading industry source estimated the order book at 6.3% out of the worldwide fleet of almost 1,600 vessels. While a reasonable number of MRs are scheduled for delivery through 2022, new ordering activity continues to be historically low. Ongoing developments in ship and engine designs, expanding environmental regulations and the broader selection of fuels and the lingering debate surrounding scrubbers complicate the decision-making process when new ordering by owners. It is expected that demolitions should accelerate at 6.9% of the global fleet or 110 MRs are 20 years or older, especially in light of the poor market conditions and the financial headwinds facing older, less efficient vessels due to the new environmental regulations. Lastly, the availability of cost-effective capital is not plentiful, further limiting new orders. As a result, we believe annual net fleet growth for MRs should be around 2% this year and next. Turning to Slide 9, the decline in charter rates continue to negatively affect MR2 asset prices, which approximate 10-year averages. In our opinion, it is currently an attractive time in the cycle to acquire tonnage and capture potential upward movement in charter rates and values. Unfortunately, there is little S&P activity for modern eco MRs. However, we are now in a better position to consummate a dealer or two. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks Eddie. Let's start with our unaudited results for the three months ended December 31, 2020, on Slide 11. Our time charter equivalent revenues for Q4 2020, which we define as revenues net minus voyage-related costs and commissions, were $3.6 million, a decrease of 42% from the same period in 2019 due to fewer operating days in our fleet, primarily reflecting the sale of the older MR in early 2020, lower charter rates and two special surveys completed in the quarter. In Q4 2020, our daily TCE rate fleet-wide was less than $10,300, a $2,100 per day decline from the comparable 2019 period. The small tankers continued to negatively affect our results. Turning to Slide 12. We incurred a net loss to common shareholders of $2.7 million for the three months ended December 31, 20020, or $0.12 basic and diluted loss per share based on almost 21.7 million weighted average shares outstanding compared to a higher net loss of $3.6 million or $0.17 basic and diluted loss per share based on 400,000 fewer shares. The absence of one MR was a major factor influencing the bottom line for 2020. Adjusted EBITDA declined significantly to a negative $200,000 in the most recent quarter. Please turn to Slide 13, which reviews our recent fleet data by vessel type. Given the size of our fleet, changes in these metrics related to a single vessel in one reporting period can have disproportionate effects on the total fleet operating results. Given the majority of our fleet had special surveys in 2020; I would focus on year end results to get a better overall picture. Within the context of a declining rate environment, fleet OpEx was stable at roughly $5,800 per day per ship during the year. Turning to Slide 14, as you know, we believe it's important to review total daily operational cost to run and manage a public tanker company, including overhead. These costs varied by a fleet composition, vessel delivery or removal, company operating structure and management. We define total daily operational costs as vessel operating expenses, technical and commercial management fees plus G&A expenses. Unfortunately in 2020, we had to allocate G&A, which is substantially a fixed cost over five vessels instead of six, as in the prior year. Nevertheless, we believe that the total daily operational cost of our modern eco-efficient MR2 continue to be very competitive compared to our public peers despite our smaller size. Please turn to Slide 15 to review our capitalization at December 31, 2020. At quarter close, our consolidated leverage ratio was on par with some publicly traded tanker companies as net funded debt stood at less than 62% of total capitalization. However, the most recent completed financing activates discussed earlier led by the common stock private placement would indicate a lower 27% with approximately $26 million in cash balances. Clearly you will get a better picture when we release our first quarter of 2021 results in late spring. With that, I would like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis: Thanks Henry. We expect the tough chattering conditions to subside by this fall. In the meantime we have significant coverage on the stronger financing position. Our recent financing activities have dramatically improved our balance sheet and given us capital to pursue opportunities including accretive vessel acquisitions. We are excited about the prospects of a healthier and more prosperous world post-COVID and our company. We appreciate your interest in our company and thank you for joining our call today. We look forward to reporting on future progress at Pyxis Tankers. Be safe. Be well.
Q -:
Operator: Ladies and gentlemen, that does conclude the call for today. Thank you all for joining. You may now disconnect.